Operator: Good day, ladies and gentlemen. And welcome to the Fluidigm Fourth Quarter and Full Year 2014 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being record. I would now like to introduce your host for today’s conference Ana Petrovic, Fluidigm’s Director of Investor Relations. Please go ahead.
Ana Petrovic: Thank you. Good afternoon, everyone. Welcome to the Fluidigm fourth quarter 2014 earnings conference call. At the close of the market today, Fluidigm released financial results for the fourth quarter and full year ended December 31, 2014. During this call we will review our results and provide commentary on recent commercial activity and market trends. Following these comments we will host a Q&A session. Presenting for Fluidigm today will be Gajus Worthington, our President and CEO; and Vikram Jog, our Chief Financial Officer. This call is being recorded and the audio portion will be archived in the Investor section of our website. During the call and subsequent Q&A session, we will be discussing plans and projections for our business, future financial results and market trends and opportunities, including among others, statements regarding expectations for the single-cell biology and production markets and our prospects and growth for -- prospects and growth opportunities in such markets, our anticipated product launches and other business strategies, seasonality and product revenue trends, and current estimates of 2015 total revenue, GAAP and non-GAAP operating expenses, stock-based compensation expense, interest expense and capital spending, and currency-related impacts on 2015 revenue. These statements are forward-looking and are subject to substantial risks and uncertainties that may cause actual events or results to differ materially from currently anticipated events or results. Information on these risks, uncertainties and other information affecting our business and operating results are contained in our quarterly report on Form 10-Q for the quarter ended September 30, 2014 and our other filings with the SEC. Additional information will also be set forth in our annual report on Form 10-K for the year ended December 31, 2014 to be filed with the SEC. We advise investors to review these risk factors carefully. Fluidigm disclaims any obligation to update these forward-looking statements except as may be required by law. During the call we will also present certain financial information on a non-GAAP basis. Reconciliation between GAAP and non-GAAP results are presented in a table accompanying our earnings release, which can be found in the Investor section of our website. I will now turn the call over to Gajus.
Gajus Worthington: Good afternoon, everyone. Thank you for joining us today. Fluidigm finished 2014 strong with total revenue of $116.5 million ending at the high-end of our guidance of $114 million to $117 million. We grew organic revenue for the year by 35%, driven primarily by increased sales of the C1 systems and robust consumable demand across production genomics and single-cell genomics applications. Our CyTOF single-cell proteomics product line grew 70% sequentially and bookings growth was also robust. Finally, we introduced several new products, including a new High Throughput Single-Cell mRNA Sequencing IFC for the C1 and announced our microfluidic cell culture system Callisto. I am proud of the efforts and focus of the Fluidigm team, particularly in light of the challenges we faced with the DVS acquisition earlier in 2014. I'm pleased to say, we have now successfully completed the integration of DVS Sciences and have expanded into single-cell proteomic. This solidifies our leadership position in the single-cell biology market, enables us to shape its future and direction, and helps set the stage for 2015. The single-cell biology market is vibrant, compelling science abounds and publications are growing at an accelerating pace. As a result, the research community increasingly recognizes the requirement to study biology at the single -- at single-cell resolution. We estimate the overall single-cell biology market across genomics and proteomics was approximately $416 -- $460 million in 2014, growing 30% per year to $1 billion in 2017. We believe the underlying growth indicators of the market point to continued strength. For example, in the fourth quarter, Sweden became the fourth country with dedicated single-cell funding. Moreover, we announced in a separate press release today that the science for Life Laboratory has established the Swedish National Center for Single-Cell Biology. SciLifeLab is a collaboration between four Swedish universities, which have established the Swedish National Center for Single-Cell Biology with a goal to implement infrastructure and advanced methods for high throughput genomic, transcriptomic and proteomic analyses of individual cells. This new center will house multiple Fluidigm single-cell systems. Specifically, this new single-cell biology center has purchased six C1 systems, three CyTOF 2 systems and a Biomark HD system. Across the globe we had a landmark year for publications. At the end of 2014, the total number of single-cell publications citing Fluidigm technology reached 251, including 23 C1 publications and 72 publications citing mass cytometry technology, up 58% from 159 total single-cell publications at the end of 2013. Our total installed base at the end of 2014 was 1,325 instruments. Of this over 600 systems were designated for single-cell biology research, including 275 C1 and over 235 single-cell Biomark units. As a reminder, we had initially communicated back in Q3 of 2012 a goal of approximately 700 Fluidigm systems for single-cell research comprised of C1 and single-cell Biomark systems by the end of 2015. I'm happy to report that we expect to meet or exceed this goal by the end of the year. However, given the broadening of our single-cell portfolio to now include the CyTOF platform. This metric is now outdated. Accordingly, we plan to provide a more informative metric in the future based on a combined single-cell biology installed base footprint. Overall, single-cell biology revenue, including single-cell genomics and proteomics represented approximately 65% and 60% of total revenue in the quarter and year, respectively. Our single-cell genomic sales in 2014 was robust and increased approximately 50% year-over-year. We sold a record number of C1 units in the quarter and approximately 25% of C1 units sold in the quarter were combined with a Biomark HD, consistent with historical trends. In the fourth quarter we realized commercial synergy between single-cell, genomics and proteomics at a customer and sales representative level, which we believe further validates our single-cell biology thesis and strategy. To add to this, we are delighted to report that we had another combined sale of the CyTOF, C1 and Biomark system for the second consecutive quarter. But it’s still too early to report trend off of two quarters we believe we are just beginning to realize the potential of our cross-selling opportunities within our genomics and proteomics platforms. We believe our new products will continue to enable a new phase of discovery in single-cell science. In December of last year, we announced that we will be launching Callisto in mid-2015. Callisto is an integrated high throughput microfluidics platform that enables automated cell culture and combinatorial dosing on a standalone device that supports either bulk or single-cell analysis. It will be used upstream of the C1, Biomark and CyTOF systems. Current techniques include manually feeding cells at the 96 well plate or robotics which force researchers to look at a limited number of factors at the time. Callisto allows for fully-automated, highly complex, combinatorial long-term cell culture experiments. Researchers can walk away without re-feeding or changing media, because the instrument is program to do it for them. Target customers include cell biologist and stem cell researchers looking to develop new culture conditions to explore, manipulate and drive cell populations into specific cell states and functions. Initial applications include cellular reprogramming and characterization, drug screening and biomarker discovery. In December of last year, we launched the Single-Cell Whole Genome Sequencing Application for the C1 system designed to help cancer researchers discover and define specific mutation profiles to predict cancer -- cancer susceptibility, metastatic development and therapeutic efficacy. This workflow is optimized to provide robust amplification of DNA templates from 96 single-cells without compromising fidelity, in addition to offering greater than 75% savings on sequencing prep costs. Importantly, our solution has a strong performance advantage over plate-based workflows due to decreased reaction sizes with our microfluidics technology. Traditionally, sequencing a bulk samples has been used to identify mutations across whole population cells within disease tissue. However, it is impossible to associate mutation profiles to specific cells that identify genetic trait responsible for aberrant cell behavior. With the single-cell whole genome sequencing, researchers can get a more complete picture and identify mutations in both regulatory and protein coding regions of the genome and directly associate them -- these areas to specific clonal populations. With the release of this workflow, Fluidigm now has a complete suite of sequencing protocols that enable researchers to easily pursue whole genome, whole exome and targeted sequencing from an individual cell. In November of last year, we also announced a high throughput single-cell mRNA sequencing application for the C1 system. [This fluid] [ph] designed to provide an eight-fold increase in throughput per run allowing for studies of 10,000 to 100,000 cells that also includes breakthroughs and IFC designed to enable capture and processing of up to 750 single-cells per run. Other investments include barcoding step on the IFC with subsequent sample pooling, decreased hands-on time and costs and optimize reagent kit and software. We believe single-cell research is evolving to require high throughput studies to increase the statistical power of the studies that expand the types of samples analyzed. In addition to broadening the customer base, we believe this application will allow C1 customers to scale their experiments to higher throughput. We will provide more details on pricing and per sample costs. We’ve launched the new high throughput workflow, which is expected in the first half of 2015. Finally, the early access program for our imaging mass cytometry platform which closed fully subscribed at the end of the quarter through very strong interest across a diverse customer base including academia, pharma and clinical diagnostic research. We believe the IMC platform which allows for ultrahigh parameter in-situ tissue imaging will enable researchers to move to the next phase for single-cell biology research. That is to incorporate the effects of the biological niche and context and to preserve the spatial relationships of cells. We expect to launch the IMC platform in late 2015 or early 2016. We estimate the overall production genomics market was approximately $295 million in 2014 growing 16% per year to $495 million in 2017. It’s still early days but we saw a very favorable reception to Juno in our early access program in Q4. We expect to launch the system this quarter. The Juno platform allows scientists to genotype low concentration or low-quality DNA samples such as FFPE with a fully automated, high throughput workflow. Conventional systems that require high quality, high concentration samples impose substantial upstream cost on production level testing. Juno alleviates this burden. Moreover, conventional systems limit the types of samples that a high throughput laboratory can test, especially when high-quality data is a requirement. We’re very pleased with the initial reception of Juno and expect to continue to broaden its menu over time. Based on our trajectory coming out of 2014, the strength and health of our end markets single-cell biology and production genomics, our confidence in the prospect for the CyTOF product line and the breadth of our new product offerings, we are reiterating our January 13, 2015 revenue guidance range for the full year of 2015 of $142 million to $149 million. This includes an estimated negative currency related impact of approximately 3% to 4% at the midpoint of the range. In closing, in 2014 we completed a transformative acquisition of DVS, successfully executed on our organic growth strategy and announced the wave of integrative beta products and applications across our single-cell biology and production genomics portfolio. We expect significant momentum in 2015 and believe we have a tremendous amount of runway ahead of us as we execute on our single-cell biology strategy of building upon our leadership position. Finally, by the portfolio products I highlighted, Callisto, Juno, single-cell DNA sequencing and the high throughput C1 chip is extensive, we are not finished. By the time 2015 concludes, we expect it will be by far the most productive year of new product launches in Fluidigm’s rich history of innovation. I’ll now hand the call over to Vikram for a more detailed review of our financial results.
Vikram Jog: Thanks guys and good afternoon everyone. I will now walk you through our fourth quarter 2014 operating results and highlights. In the fourth quarter of 2014, total revenue of $33.5 million was up 60% year-over-year with organic revenue up 21%. We are pleased with our growth across instruments and consumables in the quarter. Instrument revenue grew 72% year-over-year to $20.8 million excluding contribution from the recently acquired CyTOF 2 system. Instrument revenue grew 17% year-over-year on an organic basis. Single-cell genomics continues to be a strong growth driver for the company and for instrument revenue in particular. Approximately 70% of the Biomark HD systems sold during Q4 were motivated by single-cell research and approximately 25% of C1 system sales were combined with a Biomark HD system which is consistent with our historical pattern. Our total consumables revenue, which includes IFCs, assays, reagents and antibodies, was $12.7 million during the fourth quarter, up 48% year-over-year and 28% organically, driven by strength across all application. Our genomics analytical and preparatory pull-through in the fourth quarter, tracked within our historical ranges of $40,000 to $50,000 per system per year and $15,000 to $25,000 per system per year respectively. Proteomics analytical pull-through tracked above its historical range of $50,000 to $70,000 per system per year. Total single-cell proteomics revenue in the quarter was $8.3 million on an as reported basis excluding $3.8 million recognized before the close of the acquisition. Total single-cell proteomics revenue was $20.7 million for the full year 2014. Our total instrument installed base was 1,325 at the end of 2014 including 645 genomics analytical systems and 584 genomics preparatory systems with proteomics analytical systems, representing the remainder. Geographic revenues as a percentage of total product revenues for the fourth quarter were as follows, United States 51%, Europe 33%, Japan 4%, Asia-Pacific 10% and 2% other. Geographically, all our end markets except Japan were strong. Year-over-year organic revenue growth rates for the fourth quarter were as follows, United States 35%, Europe 24%, Asia-Pacific 26%, and 6% other. Japan was down 41% and similar to last quarter, we believe the weakness in the Japanese market was largely due to delays in funding disbursements. Net loss for the quarter was $10.9 million compared to a net loss of $4.6 million in the prior year fourth quarter. Adjusting for stock-based compensation, depreciation and amortization, interest expense and other acquisition related non-cash charges and benefits, non-GAAP net loss for the fourth quarter of 2014 was $1.7 million compared to the $1.9 million non-GAAP net loss for the fourth quarter of 2013. Please refer to the reconciliation of GAAP to non-GAAP information attached to the fourth quarter 2014 earnings release for details. GAAP product margin was 62% in the fourth quarter of 2014 versus 71% in the year ago period. After adjusting for acquisition related non-cash charges including amortization of developed technology and inventory evaluation, stock-based compensation loss in disposal of property and equipment, and depreciation and amortization, non-GAAP product margin was 72.5% in Q4 2014, which is relatively flat year-over-year. Turning now to OpEx. Research and development expenses were $11.7 million in the fourth quarter of 2014, compared to $5.8 million in the fourth quarter of 2013 and $12.7 million in Q3 2014. The addition of the single-cell proteomics product line contributed approximately 66% to the year-over-year increase in research and development expenses. The balance of the increase was driven mainly by headcount additions and R&D project materials. SG&A expenses were $18.8 million in the fourth quarter of 2014, compared to $13.6 million in the year ago period and $18.6 million in Q3 2014. The addition of the single-cell proteomics product line contributed approximately 20% to the year-over-year increase. Increased headcount, tradeshows, promotions and professional fees drove the remainder of the increase. Moving onto the balance sheet, total cash, cash equivalents and investments were $142.8 million at the end of the fourth quarter, compared to $147.2 million at the end of Q3 2014 and $86.3 million at the end of December 31, 2013. Net cash used in operating activities excluding cash outflows related to the acquisition was $14.6 million in 2014, versus $1.6 million in 2013. Accounts receivable were $22.4 million compared to $16.9 million at the end of the third quarter of 2014. DSO at the end of the fourth quarter of 2014 was 60 days, compared to 51 days at the end of Q3 2014. Inventory was $16 million, down from $17 million at the end of the third quarter of 2014. Moving on, now to our financial guidance for 2015, we are reiterating our revenue guidance range for the full year of 2015 of $142 million to $149 million. This includes an estimated negative currency related impact of approximately 3 to 4 percentage points at the midpoint of the range. We would also like to remind investors that Fluidigm’s product revenues have historically been lowest in the first quarter of the year and highest in the fourth quarter of the year, with product revenue in the first quarter of the year sequentially down from the fourth quarter of the previous year. Although this was not the case in 2014, we expect the historical trend to resume in 2015. Operating expenses are projected to be between $129 million and $134 million on a GAAP basis. On a non-GAAP basis, operating expenses are projected to be between $105 million and $110 million, excluding approximately $19 million of estimated stock-based compensation expense and $5 million of estimated depreciation and amortization expense. Stock-based compensation expense is projected to be between $18 million and $20 million. Substantially, all of our stock-based compensation expense is reflected in operating expenses. Interest expense is projected to be $6 million. And finally, capital spending is expected to be between $6 million and $9 million. I will now turn the call over to the operator to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bill Quirk with Piper Jaffray. Your line is open.
Bill Quirk: Great. Thanks and good afternoon everybody. First question for me is I guess, do you have any feedback by chance from some of the early access users around the high throughput C1 chip for mRNA sequencing? And then how should we think about additional applications rolling out much like with what you did with C1 for example?
Gajus Worthington: Hi, Bill. It’s Gajus. So, we haven’t started an early access program for this chip yet. We’ve announced that. We are developing it and then it will be available in the first half of this year. But we don’t have the -- the early access program hasn’t officially started yet. Having said that, the need for high throughput single-cell analysis is abundantly clear, so we expect that there will be some considerable latent demand for this device. And then with respect to the menu, the menu of the C1 is going to continue to expand. We are certainly not finished with what we are going to do on that platform. The single-cell high throughput chip is the next thing that we are pointing to. But in the past, we’ve also talked about other types of measurement modalities that you might enable on the C1 platform. So, we are certainly far from done to what we will do in C1.
Bill Quirk: Okay. Got it. And then as a follow-up, I guess just thinking about the suite of new product launches that you have here this year. I guess two part question. One, how are we thinking about that in terms of the relative contribution into guidance? And then secondly, guys, with so many new products coming out, can you help us think a little bit about how you are getting the team kind of stay on message and on focus and do you need to significantly expand the team at all? I guess just kind of help us think about kind of managing this process, given that you do have an awful lot of new instruments coming?
Gajus Worthington: Well, that’s a good operating question, Bill. It’s true when you have this many new products coming, you’ve got to be very careful about how you train the sales force, the messaging, the materials, all of that. And you can be sure that we are being both careful and thorough about that and in fact it’s started already. Of course, we knew that this wave of new products would be coming. So we’ve been preparing for quite sometime. But as you point out, it is really important that you have very clean messaging that you have all the right materials and supporting documentation, et cetera ready. In addition, you train the sales force effectively so. There is a lot of detail behind that, which I think you didn’t do if you like. But I guess suffice it to say for now that, that’s certainly a problem that we’ve been aware for a while we’ve been preparing ourselves for. It’s obviously a very good problem to have. And I’m sorry. The other part of your question was….?
Bill Quirk: How do we think about the contribution?
Gajus Worthington: Sure. Yes. So it’s certainly incorporated into the guidance but beyond that I can really say is that we are pretty careful about the expectations that we have internally for new products in the first year that we launch them.
Bill Quirk: Got it. Thanks guys.
Gajus Worthington: You bet.
Operator: Our next question comes from the line of Doug Schenkel with Cowen & Company. Your line is open.
Doug Schenkel: Hey. Good afternoon, guys.
Gajus Worthington: Hey, Doug.
Doug Schenkel: Some really interesting details of the new single-cell high throughput workflow on the C1 and based on some of our recent checks, it seems like there could be some decent and maybe even rapid interest from a few populations, including CTC researchers. I was just wondering if you would be willing to provide any thoughts at this point about how much you think this expands your market opportunity using really any metric you want. And I guess related to that, does this work on existing C1 instruments? Is there any enhancement required for those instruments, or would it just be a seamless protocol introduced to the existing platform?
Gajus Worthington: Yes. So it definitely expands the market and from a couple of perspectives. One is that there are a wave of entrants that have not been actively participating in the single-cell market yet, but now want to start doing it and in order to not jump in as followers but to try to jump in towards the -- ahead of the pack, or jumping in and wanting to jump in with very high throughput studies. There are also other researchers for whom you really needed to analyze thousands or tens of thousands of cells in order to get really good biological data. All kinds of applications within the immune system for example, require large numbers of cells in order to adequately characterize what’s going on at the genomic level. And in fact, even if tens of thousands or hundreds of thousands have felt that, that’s actually a relatively small number for that application space. So it definitely expands the market. We don't have a metric for you there on exactly how much it does. But it’s incorporated into our projections about the size of the overall single-cell market, which we characterize is growing to about a $1 billion by the end of 2017. And then with respect to outworking the C1, it will work on the existing systems. There will be a software upgrade, of course but that will be very easy to either download or install it with a flash drive.
Doug Schenkel: Okay. That’s really helpful. And then I guess my second question is really on dots by geography. And I apologize if I missed this in your prepared remarks. But then looking at the model, you had a nice close to the year in Europe in particular. Sales increased about $3 million sequentially, almost $5 million year-over-year. We seem to be seeing that there was some pickup in European academic end-market demand that crossed the tools group in Q4. Couple of companies have told us they think there was some funding release that helped in that market. I just want to make sure you don't think there was any notable pull-forward of demand and that you think the momentum can continue into 2015. And then, I guess turning to another geography, you have a really tough comparison in calendar Q1 in Japan, which is of course under the fiscal year in Japan where you intend to do pretty well, especially given a lot of the improvements you’ve made operationally there. But I think it's very fair to say across the group, there is a lot of concern about what's going on with funding releases, combined with what's going on with the yen. I was wondering what is factored into guidance for Japan for this year, have you taken a conservative stance given those dynamics? Thank you.
Gajus Worthington: Sure. So you're correct. Europe had a really nice quarter and it definitely benefited from seasonality, which is a normal in Europe, end of year seasonality. So it wasn’t say anything out of the ordinary there. In addition, we also had an effect where several CyTOF systems that would have been booked in previous quarters turned into revenue in that quarter also. So there are couple of things going on. But all in all, I have to say we are just extremely pleased with the execution of our European team. Japan continues to be challenging and we are very cautious about Japan and that is incorporated into your guidance. We think that the funding release could continue to be challenge during the course of the year and certainly what happened this past year was as surprise. I don’t think anybody saw the funding hold upcoming. As you point out, we had a really, really strong Q1 in Japan of last year and there certainly isn't something that we’re expecting this year.
Operator: Our next question comes from the line of Bryan Brokmeier with Maxim Group. Your line is open.
Bryan Brokmeier: Hi, good afternoon.
Gajus Worthington: Hi, Bryan.
Bryan Brokmeier: You really ramped your R&D expenses in 2014. And obviously with all the new product launches, it looks like you put the money to good use. Does the development of these new instruments work out as you had anticipated or did some of them -- were any of the timeline shorter or longer than you expected back if you look back to the beginning of 2014? And then secondly, should we expect any significant new ramps in the operating expenses, in particular in R&D as we go forward? I think that the 2015 levels were below -- somewhat below or certainly not above our expectations? So it was 2014 kind of one-time thing in order to get all these products out the door this year?
Gajus Worthington: So there certainly was a bolus of spending in R&D and actually some of that goes back to late 2013 even when we started to take up R&D spending. And on your question about timelines, whatever you're trying to do something that is innovative and aggressive in terms of a new product, there is always some amount of unpredictability associated with that. And if you’re trying to engineer something that is an extension of an existing product line that can be done with the high degree of the predictive accuracy, but whatever you're trying to do something truly innovative like Callisto or even like the high throughput mRNA chip or Juno. They are always surprises. And sometimes they are good and sometimes they are bad. But all in all, I would like to give a shot out to our R&D team who really did a phenomenal job of wrestling to various problems to the ground and delivering us with a really rich, rich set of products here that we have the opportunity to sell in 2015. And then to your other question, are spending on R&D that we expect -- we only expect is in corporate into OpEx guidance that they can provide it.
Operator: Our next question comes from the line of Dan Leonard with Leerink. Your line is open.
Dan Leonard: Thank you. I was hoping Guy you seem have yield to offer a list prices for the new instruments like you know the Callisto and maybe it is too early, but it is not the imaging CyTOF?
Gajus Worthington: Yeah. Some of that is too early I am afraid. So the Juno will be in excess of 100,000. We are little bit too early to offer a list prices on Callisto and for the imaging platform, it depends entirely on a decision that yet to be made and that is whether or not, it is a single system that is CyTOF together with an imaging module or imaging module that is separate from the CyTOF and this probably imagine those would be a very, very different price points. So unfortunately tenants have a lot of specific information to give you there. But I promise we will be clear about that as we get really closer to the product launches.
Dan Leonard: Okay. And then my follow-up guys could you offer more color on CyTOF bookings, you mentioned they were strong, but I'm trying to determine if this product line grows at above, below the corporate average in 2015.
Gajus Worthington: Yeah, we are not going to be making a forecast around an individual product line going forward. What I can say is that we were very pleased with the judge trajectory of bookings in the second half of 2014 that is for both Q3 and for Q4 and that in combination with really nice development of the pipeline. The commercial team really start to find its group together, the very good feedback from customers and a pretty dramatic increase in the number of publications, particularly in the second half of that -- pardon me 2014 all that gives us the confidence that that we’re in good shape with respect to CyTOF going forward?
Dan Leonard: Thank you .
Operator: Our next question comes from the line of Peter Lawson with Mizuho. Your line is open.
Peter Lawson: Yes. Guys, just wonder if you could talk further about the imaging mass tech products. Just when it’s been released and what is convicted against? Thank you.
Gajus Worthington: Sure. So it hasn’t been released yet but we have done is open up an early access program to a very, very limited, less than a handful really a potential participant and that received interest from Europe and the Middle East, even parts of Asia. And we selected and fill that program with groups at Spain academia and more translational more. So when do we launch it? It will be worldwide. It will be through the fall crude and commercial channel which were direct in the major markets in Europe, were direct in North America, were direct in China and Japan. And also we have an extensive distributed network that reaches most of the rest of the globe. So when we launch it which will be at the bury end of 2015 or early 2016, it will be through that. It will be global.
Vikram Jog: In terms of what it competes with. It is we believe really a changer. It increases the of parmeters that one can analyze simultaneously from about 6 which is the current high end of the imaging up to mid 30 or 40. So it’s nearly an order of magnitude change in the amount of data you can great and the richness of hat that and completeness of the picture literally that you can get as a single-cell level. So as far as we know, there are -- nothing have anything like this out in the market. And as resulted kind of the definition of something that’s really disruptive.
Peter Lawson: And then just from the use of cash, it sounds more like its inorganic growth, or organic growth versus…
Gajus Worthington: We are very focused on executing on that strategy that we played out and continuing to ensure that the integrated proteomics product line does really, really well. That said, we are always aware of net technologies and we will remain interested in things that could potentially be synergistic, but it’s certainly not a priority for us right now.
Peter Lawson: And just one quick question, just, Vikram, look like the gross margins take down in the quarter, what was behind that?
Vikram Jog: So you’re looking at the sequential decline from Q2 to Q4?
Peter Lawson: Yes.
Vikram Jog: Yeah. So this is within the range that we had previously provided for modeling purposes in the low 70s. Specifically, we have an acquired business DVS that is a much earlier stage of growth than the legacy Fluidigm business and has consequently lower margins compared to our legacy business. So that’s one factor and as you can see that business is growing pretty substantially or sequentially from Q3 to Q4. The other factor is now we are fully occupying our new larger facilities in Singapore. And as we have indicated before, it will take us a period of time, maybe a several quarters, maybe a couple of years for us to go back into a larger facility. So in the initial stages of occupying that facility, there will be some decline in margins. And lastly, mix plays a role as well to the extent our instrument, the portion of our revenues represented by instrument grows that has a negative effect on margins, because we do have lower margins on instruments compared to the margins that we generate on consumable.
Peter Lawson: Okay. Thank you so much.
Operator: [Operator Instructions] Our next question comes from the line of Sung Ji Nam with Cantor. Your line is open.
Sung Ji Nam: Hi. Thanks for taking the questions. Maybe a follow-up to Dan’s question, recognizing it’s early, was wondering if you have a sense of what kind of consumable pull-through you might see for the -- some of the new products you are launching like the Callisto and the IMC platform?
Gajus Worthington: Yeah. Sung Ji, its pretty -- its really pretty early to -- we have a spread sheet and you may remember when we launch the C1. We’re answering questions like this very similarly. We just think it’s prudent. You have a model. But until you actually start getting some data back from customers and we have several quarters of that, it’s really tough to say. So give us little bit more time here to get through some early access data from customers and maybe initial phases of the product launch and we can be a lot more fulsome about the pull-through on these platforms.
Sung Ji Nam: Okay. Sounds great. And then, I guess, for the Callisto platform, was wondering if you would anticipate about two kind of pull, if you will, purchases of other systems just as C1 did when you guys launch that?
Gajus Worthington: Yeah. We expect that it will. I mean, the amount of that is really hard to say but every time we launch a new platform that’s part of an overall workflow. We see that happening in part of our thesis and in the acquisition of the CyTOF product line was that that was going to be --we would generate sales of the CyTOF from both who are interested in genomics and vice versa and that’s already happened. As you may have heard, we’ve had that two bundle systems that were CyTOF, Biomarks and C1s, all together those are examples of what I’m talking about. So we do expect that some of that will happen at this point, I really can’t say how much though.
Sung Ji Nam: Great. Thank you.
Gajus Worthington: Sure.
Operator: We have a follow-up question from the line of Bill Quirk with Piper Jaffray. Your line is open.
Bill Quirk: Great. Thanks for taking the follow-up question. Just a couple of quick cleanup one, Gajus. Gajus, you mentioned that the early access in Juno is positive and they were obviously going to deeply commercializing here in the first quarter. So is it reasonable to assume that the number of Juno’s that you placed was in the kind of low-single digits?
Gajus Worthington: We didn’t break any of that out. Sorry Bill.
Bill Quirk: All right. And then can you talk as just kind of staying on the top. Can you talk a little bit about the trends in the production genomics franchise?
Gajus Worthington: Yeah. I think, one of the really important was that we have observed now for years, which Juno addressed is this problem of limited sample. And there is sometimes customers don’t even know that they -- how bad the problem is. I mean, I run into very high throughput customers now pretty routinely who have had to implement a substantial amount of infrastructure and then suffer the intended cost in order to deal with variability in samples, degraded quality, if you have a [Indiscernible] that’s been mailed from different places, the amount of RNA or DNA they could be on that can vary dramatically and its quality can vary dramatically. So we think that one of the really important trends in production genomics generally is a need, sometimes latent to be able to get really good high-quality data off of a wide variety of sample quality and sample quantity. We’re at the very early stages of tapping into that obviously, with the launch of Juno. But from a used model and technological point of view, we think that’s a really important trend in this market.
Bill Quirk: Okay. And then one for Vikram as well. Vikram, you mentioned what the ForEx impact is going to be for ‘15? Can you just remind us what it was in the fourth quarter and maybe for the full year?
Vikram Jog: You mean Q4?
Bill Quirk: Yes.
Vikram Jog: Fourth quarter, right? Yeah. It is approximately 3% of revenue.
Bill Quirk: And do you have the full year number for ‘14 by chance?
Vikram Jog: Do not but we really didn't have any substantial effect of that until Q4. As you know, currencies really started plummeting versus the dollar primarily in Q4. I mean, we’ve had this question, I think in probably in every earnings call but it's been very, very, very minor until Q4.
Bill Quirk: Got it. Okay. Thanks, Vikram.
Vikram Jog: Sure.
Operator: And we have a follow-up question from the line of Bryan Brokmeier with Maxim Group. Your line is open.
Bryan Brokmeier: Hi. Thanks. Could you provide some color on the breakdown of your revenue by end market?
Gajus Worthington: You mean other than the percentages or what exactly you are looking for there, Bryan?
Bryan Brokmeier: So by biopharma or clinical, industrial, applied academic?
Gajus Worthington: So let's see here. In the fourth quarter, about 65% of our business was academia government, about 12% biotech pharma, about 17% was commercial labs and commercial ag, bio, which we categorize together. Remainder is a mixture of things.
Bryan Brokmeier: Okay. And within the clinical applications, what types of diagnostics are your customers most involved in?
Gajus Worthington: I’m not sure if there’s any most actually. It’s quite varied. There are things like HLA typing, which is an exactly diagnostics but certainly part of an important medical procedure that is bone marrow transplant or organ transplant. There are cancer tests. There are test for things such as pain management. There are carrier screening tests. Its actually -- it’s quite varied. There isn’t anyone thing or one area that dominates. And we are frankly pretty surprised and amazed by the creativity really of a lot of these laboratories and how they are using genomics.
Bryan Brokmeier: Okay. Thanks a lot.
Gajus Worthington: Sure.
Operator: And I’m not showing any further questions at this time. I would like to turn the call back over to Ana Petrovic for closing remarks.
Ana Petrovic: We’d like to thank everyone for attending our call. A replay of this call will be available on the investor section of our website. This concludes the call. And we look forward to the next update, following the close of the first quarter of 2015. Good evening, everyone.